Jason Gere - RBC Capital Markets: Dara Mohsenian - Morgan Stanley Research Olivia Tong - Bank of America - Merrill Lynch Bill Chappell - SunTrust Robinson Humphrey Linda Bolton Weiser - Caris & Company
Frank Camma - Sidoti & Company, LLC: Ian Gordon - S&P Capital IQ Gregg Hillman - First Wilshire Securities
Operator: Good morning. My name is Cassandra and I will be your conference operator today. At this time I would like to welcome everyone to the Tupperware Brands Corporation, third quarter 2012 earnings. All lines have been placed on mute to prevent any background noise. After the speakers remarks there will be a question-and-answer session. (Operator Instructions). And now I would like to turn the call over to your host, Rick Goings, Chairman and CEO. You may begin.
Rick Goings: Yes, thank you and good morning everyone. I am currently in Chennai, India. Its evening here and I am along with Asha Gupta, who is not only our Managing Director of India, but an Area Vice President in this part of the world, who is a doing a leadership workshop for about 1,000 of her people here in India. Mike Poteshman, our CFO and Teresa Burchfield, our Head of Investor Relations are back in our Orlando headquarters. Should there be any problem with our phone line, I fall off, Mike will finish it; as a matter of fact we had a power outage about five minutes ago. As always, some of our discussions will involve the forward look of our business, so you know the drill on forward-looking statements. We ended the quarter with a 6% sales increase, which was right in the middle of our local currency range. Emerging markets as you can see, they made up 66% of our sales and they increased 11% and our established markets decreased 3%. The adjusted EPS for the quarter came in at $0.95, which was $0.03 over the high end of our range. $0.02 of this was from better exchange rates, but the rest was really from better operations and improvements in the value chain. Mike will as always dig into that as we go forward. I don’t need to tell all of you that there’s a lot of disruption in turmoil going on in the world and that really speaks to the strength of our business model and the ability to deliver really strong growth, in spite of the externals. I am pleased with this performance this quarter. We had a few items that I’ll point out which caused some distortion when comparing year-over-year and I’ll get into that. I’ll also talk about a number of the units where we’ve been working to see improving trends and we are starting to see the initiatives we’ve implemented paying off, so again I’ll dig into that. Also I will speak to the handful of markets where we still have work to do to get it back on the trend lines in the right direction. Before I dig into those markets, so let me say that I frankly only had one year in my career of running global portfolios where we hit on all cylinders. So while we’ll keep trying for perfection year after year, we know because of our business model, that we can achieve still solid top and bottom line growth and we don’t have to hit on all cylinders. Now, let me dig into these business units. First, I’ll comment on our outstanding performers in the quarter. In the established markets, Germany really led the way. It’s our largest market in Europe. Continued to deliver strong growth. Up 7% in the quarter and if I remember too, that’s summer time in Germany, so things kind of come to a halt in Europe for many, so this was really good. This by the way is the fifth quarter of mid to high single digit growth in Germany. Also its worth noting the Nordics market, that makes up most of the Scandinavian markets plus Finland were up 13% in the quarter and both of these markets were soft a couple of years ago. We also had quite a number of medium sized and smaller established markets that were up in the quarter, probably too many to mention, but I will mention a few. Belgium and Spain were both up mid single digits and that’s kind of shocking to hear of this improved performance in Spain. I was there this past month and our organization there is really taking advantage of the high unemployment rate; a lot of challenges on consumer spending, but a larger sales force helps to mitigate that. The Netherlands also was up in the quarter over 30%. Now, let me turn to the emerging markets. There we continue to have a number of standouts contributing to our 11% emerging market sales increase; I’ll start with Europe. Turkey is an emerging market. There we grew 30% in the quarter. Also very pleased with the 13% increase we saw in Russia in our CIS businesses. So it is good to see after a couple of challenging years that that business has had now a number of quarters in positive territory and I think we’ve really implemented the right fixes. Avroy Shlain, our beauty business in Southern Africa also grew in the quarter. It was up double digit, 13%. In Asia Pacific, Indonesia, now our largest Tupperware market in the world grew over 30% in the quarter and this was on top of – they lapped at 50% increase the same quarter last year. India grew 50% in the quarter and we continue to see strong trends in the underlying performance indicators. Sales force now is over 180,000. But I’ll dig into that with Asha’s help in a minute before I turn it over to Mike. Malaysia and China, they were also up double digit in the quarter. Turning to the emerging markets in South America, Brazil, 30% up in the quarter; Venezuela up about 30%. I must comment though, Venezuela was mostly pricing and we were sad with this, so there’s this re-election, but our business continued there to hold its own. Tupperware Mexico and our beauty business in Uruguay, Nuvo, both were up double digit in the low teens. Now with the higher anticipated levels of growths for the middle class in many of these emerging markets, I think I’ve quoted before that we are going to see this 0.5 million middle class even in Asia grow at a 1.7 billion in the next eight years, but there’s a lot of the same thing happening in Eastern Europe and in South America. We are pretty low in our penetration in most of those markets and if we keep this strong productivity, we believe it is a premium brand. As the middle class grows, we will grow for many years to come. Now I want to take a minute and point out some distortions to our numbers when comparing year-over-year in our beauty North America segment. We pointed out last year in the third quarter that we had implemented some very aggressive recruiting campaigns and therefore Mexico, a business you probably remember being very critical of some of those initiatives. Anyway we ended the quarter with a 19% sales force size advantage, after coming into the quarter even with prior metrics. By the fourth quarter most of these new recruits though had been deleted due to inactivity. In essence, we threw a lot of promotional dollars at it, got low quality recruits, didn’t have the ability to train the people and we ended up flushing them in the fourth quarter; your not going to see that again. Anyway we estimate for year-over-year comparison purposes, this adding a negative 3.5 percentage point impact on the total sales force size for the company overall when compared with Q3 ending sales force comparing it 2012 to 2011. Mike can amplify a little bit more on that. He’s got more of the details in front of him. In conjunction with these recruiting campaigns, we spent very aggressively and estimated at that time in Mexico we spent $7 million to $8 million above our normal level to get those recruits. We made the decision; we weren’t going to do that again and our approach with our Fuller business is to take advantage of the strengths we have, particularly in fragrance and its also introduced more premium type products like skincare into the market. So I was just there with Simon and I think we got the right kind of initiatives in place. We’ll continue our focus on recruiting and closing the sales force size gap and also getting an advantage there, but at a more normal pace. As a result of this approach, our spending was about half the level it was in 2011. So we are starting the fourth quarter with this business, with a large sales force deficit in Mexico in the Fuller business, and its going to be another challenging comparison, but as we get into 2013, you’ll see some normalization. Moving on, I’m also pleased to report we saw a positive trend in a number of our other businesses. We’ve been discussing the ongoing implementation of growth strategies in a number of these. Now we are starting to see some returns. Firstly, I was last week at BeautiControl and its good to see what’s happening there and the progress. We were down just 1% in sales in the quarter after having been down 11% in the second quarter. So hopefully in the next couple of quarters you’ll start to see pluses and are not only in the top line sales, but also on the sales force size. We are still down mid single digit at the end of the quarter, but our active sales force did improve. In Europe, sales in France are improving. As a matter of fact we were up 1% in the third quarter and after having been down in the second quarter. We did see good activity from that French sales force, but we remain focused on really getting a further sales force size advantage. We also saw a trend improvement in Tupperware, South Africa. As you recall, we experienced quite a bit of disruption at the back end of this past year. At the beginning of 2012 with the sales force after there were a knock off and counterfeit products introduced into the market. It’s flooded into the market. I was pleased yesterday, our general council sent me a picture of ground confiscated and ground products that were confiscated by the authorities there and so we weren’t going to settle in until we saw that stuff ground up. We didn’t want it leaking out back into the marketplace in another channel. However for South Africa we were still down slightly in the quarter, but there was a nice improvement over the second quarter where we were down double digit. Overall, while I wouldn’t necessarily call all these businesses I just talked about in the victory column, sequentially we are seeing improvements in the underlying key performance indicators. Anyway, we’ll continue to report it in our progress in the next quarter. Let me take a few moments to discuss some of the businesses where we still really have some work to do. I already discussed our Fuller business and what we are doing there and I feel quite good about this next year in that Fuller business. We are making some changes, not only with regard to our products and our focus on new product introduction, but importantly in sales force structure and that should be a real plus. In Tupperware U.S. and Canada, we were intentionally this quarter, less aggressive than last year with our pricing and our approach and promotions, which along the lower sales force size resulted in sales down in the low teens, but a better value chain. So net-net, yes, we could have invested more in promotions and actually literally bought sales, but that’s not sustainable. As a matter of fact in direct sales you end up gunning down your sales work. We are looking for solid paths to sustainable growth. Our two major focuses in the U.S. and Canada are to close the sales force size gap; and two, to leverage the power of this really powerful Hispanic sales organization. In Asia Pacific, we continue to leverage on implementing our strategies in Tupperware Australia and Japan. We’ve seen some improvement in Australia sequentially and in Japan we are starting to see some traction related to the key initiatives to recruit and develop more active sellers and get that product mix back toward Tupperware products. We were using a lot of high priced, third party products in the past. Anyway, we believe with the focus we’ve now been on, we should be able to manage our portfolio for growth and sales and profits in the years ahead. We continue to focus on four keys to continue growing our business and its number one, innovative products; two, the right kind of dynamics, selling methods; third, a compelling sales force opportunity and last, real direct selling fundamentals. Now I made a decision earlier today. Its kind of ridiculous for me to be here with the second largest market in the world and one of our most dynamic growing markets, not to get a little amplification from our management team on what’s going on here. So I’d like to ask Asha to kind of expand on what’s ahead. We were up here 50% in the quarter. I think we were up 70% this last year, so it’s been dynamic. So Asha, you mind kind of checking down a little bit. 
Asha Gupta: Yes, thank you Rick. First, let me begin by putting India in perspective. Just in terms of population, you talked about it, within the next 10 years India’s middle class is really expected to exceed 500 million, putting up way ahead of China. You’d remember, we opened here in the mid 90’s. It took us about five years to breakeven and another five years to grow and develop a strong distribution in sales management organization, which is really the leverage to produce dynamic growth. I am kind of pleased to report that the indicator in the past five years has actually been about 40% and the return on sales in our business is in a healthy high 20’s and as far as the conditions exist in India that make our products and our business opportunity just perfect. I had mentioned the population at large and growing, the emerging middle class of 300 million plus that we have currently, what’s really interesting is that they want both the opportunity and they love the brand. Less than 20% of women in India are currently employed and that gives us a significant opportunity to focus on providing them the business opportunity. It’s actually kind of music to their ears and we are building up traction with some wonderful campaigns at this point in time. The product itself is at a suit spot for where the middle class Indians actually spend their money. So all of these conditions give us the significant confidence that the current growth that we are experiencing is going to continue well into the future.
Rick Goings: Asha, thank you very much. Before I let you go, one question I am often asked about our emerging markets, particularly the ones with the largest populations like China, India, Indonesia, Brazil, I am asked regarding these markets, just how much more runway of this kind of growth do you think we have left and why don’t you amplify your point of view for India.
Asha Gupta: Well, if I just have to sum it up in a word Rick, lot. We have just a lot of headroom at this point to grow and let me just explain, in the last 15 years or so we’ve gotten in to 63 cities and even in those cities we just estimate we have about 10% to 15% real coverage and the customers need to have access to Tupperware even further. So we have programs in place that get us going in that direction. However just down the road I see another 40 cities being added to this 63 already cities, not to mention or forget the rural market. This a completely different piece that we can look at for the future. So really there is a tremendous opportunity and just doing a rough back up on the calculation, I can see the sales force size expanding say 10% in the coming year, so 10 times in the next few years. 
Rick Goings: Well, we have 180,000 and that may sound like an incredible number. It is when you sit there and look at Mexico. We’re just north of 100 million population and we’ve got a sales force there, north of 0.5 million and we are north of 600,000, so to serve this kind of a market, particularly where it has a less developed retail infrastructure. This is clearly going to be our biggest market in the future.
Asha Gupta: We are doing everything to get there.
Rick Goings: Yes, thank you very much. Mike, let me turn it over to you.
Mike Poteshman: Okay, thanks Rick. First, I’d like to give some insight on where we vary from our expectations in the third quarter versus what we said in July. We had several modest upside versus the hind of our sales outlook. These were in France, Turkey, Nutrimetics, Australia, New Zealand and India. At the same time we had some downside versus what we have built into the high end of our outlook in Tupperware Mexico and Venezuela and more significantly at Fuller Mexico, Tupperware U.S., in Canada and Brazil. Among the downside units, the comparisons versus last year were actually very good at Tupperware Mexico, Venezuela and Brazil. The hits were really at Fuller Mexico, where we had a bigger impact than we had foreseen in the high end of our outlet from lapping our third quarter 2011 aggressive recruiting approach and in the Tupperware U.S. and Canada business where we knew we had a smaller sales force going in, but where we got less out of our programs than we had expected. Rick mentioned that the way we ran in Fuller Mexico resulted in more profits in last year, even with much lower sales. On the profit side, not withstanding our sales coming in at the mid point of our local currency range, we beat the high end of our guidance by $0.03 in dollars and $0.01 in local currency. This reflected the drop through on better than expected sales in Europe, our higher operating margin in Brazil than we had expected if we leveraged our spending, with a partial offset from the lower than expected sales by Fuller Mexico. In Brazil we didn’t yet make all of the changes with our sales force we had anticipated in light of some new regulations in that country that I mentioned in last quarters call; the rest of the changes there are now planned for this quarter. Taking the sales and profit results together then, at 11.8% our pre tax profit return on sales in the quarter excluding items was 30 basis points better than the high end of our outlook range in July and 80 basis points better than last year. Versus last year, this is even after overcoming a 50 basis point hit on the ROS comparison from the weaker U.S. dollar and how that impacts our corporate and interest costs as a percentage of sales. Turning to our outlook for the fourth quarter, our expectations were 5% to 7% local currency sales growth. Including the first nine months of 2012, this would result in a full year 2012 local currency sales increase of about 5%. You should recall that due to our fiscal calendar, including our 53rd week in 2011, we are taking an approximate one point hit on the full year comparison. Also as you saw in our release this morning, we issued preliminary sales guidance for 2013 calling for U.S. dollar and local currency sales growth of 5% to 7%. This is one percentage point lower than our longer-term guidance and takes into account what we are seeing in our markets, both internally and externally. Our longer term, three to five year outlook is still to grow local currency sales at 6% to 8% per year from 2014 on. We get there based on our continuing innovation with new products, anticipated growth in our emerging markets from capitalizing on our runway for further penetration and productivity, as well as our continued focus on our established markets as we target areas where we are under penetrated and where we continue to promote our compelling earnings opportunity for women. When we look into this longer range forecast period, we now foresee local currency sales growth in our emerging market units coming out at about 10% and in our established markets coming out in the low single digits. In the emerging markets the penetration and productivity opportunities we have are significant, but the basis we are growing off of continue to rise. With the established markets, we certainly expect them all to grow more than in the low single digit each year, but on an outlook basis we recognize that our history is that we have some puts along with the call and that’s why we call it at low single digit overall. On earnings per share with our items, our fourth quarter outlook is to come in in the range of $1.66 to $1.71, which on a 5% to 7% local currency sales increase would be an increase of 12% to 16% on local currency and 11% to 14% in dollars, including a $0.02 hit on the comparison from foreign exchange. This outlook includes the pre tax profit return on sales of 17.3% to 17.6%, which at the high end would be up 50 basis points from 2011 in dollars and 70 basis points in local currency. For the full year then, the hind of our EPS range is raised versus our July outlook by $0.08 on the high end and by $0.13 on the low end to $4.94 to $4.99. This includes a negative year-over-year foreign exchange impact of $0.36, which is $0.07 better than in our July guidance, plus the $0.01 by which our third quarter actual EPS exceeded the high end of our range in local currency. At the high end this could be a 12% increase in EPS in dollars and 22% in local currency and it includes a 40 basis point improvement in pre tax profit, return on sales, which is less here in dollars and 80 basis points in local currently. I mentioned hear one “item” we expect to have in the fourth quarter which is an approximate $16 million hit from a non-cash charge for accumulative translation adjustment running through our income statement as a result of our decision to seize the operating of our small Nutrimetics businesses in the U.K. Other assumptions included in our outlook are that we’ll have $100 million of open market share repurchases in the fourth quarter. This will bring the full year amount of these repurchases to $200 million. You should recall that along with over $75 million of dividends, this does mean close to $5 per share going to our shareholders in 2012. Our assumptions for full year net interest expense is going down modestly from about $33 million in July to $32.5 million now; probably now we see about $62 million in an allocated corporate cost versus $60 million in July. Our estimate for our tax rate without items remains the same as we indicated in July about 24%. I would like to also give you a bit longer term insight on our expected tax rate without items, to say that we do expect some increase over time as we make mover and more money outside of the United States that needs to be repatriated, but we expect our rate to stay within three to four points from where we are now and in 2013 to be about one point higher than 2012. Turning to cash flow, we had a very good quarter as we generated $45 million this year from operating activates, net of investing activates, in comparison with $20 million last year. Year-to-date we are close to $25 million ahead of 2011. We reduced our full year outlook for capital spending in our July guidance to $85 million to $90 million and are further reducing it today to $80 million to $85 million. As I noted on the July call, going forward we expect to operate annually in the $70 million to $80 million for capital spending. Hence for our full year 2012 forecast, we are raising our range by $10 million to-date from July, to $210 million to $220 million for the year. Finally, before I turn over to questions, our update on our revenue picture is that we now expect our cost of good sold to include for the full year about $160 million, compared with a range of $155 million to $160 million in July. And for a year-over-year impact from rising cost movements in local currency, a positive $1 million, which is inline with the outlook we gave in July. The actual impact in the third quarter was in line with our expectations and quite modest at about a $0.5 million positive and looking today at 2013, we see a small negative impact versus 2012 of about $1 million for the full year. And so with that Cassandra, we’ll turn the call over for questions. 
Operator: (Operator Instructions). Your first question comes from the line of Jason Gere.
Jason Gere - RBC Capital Markets: Hey, thank you. Its RBC. Hey guys, I guess two questions. One, just thinking about the long term 5% in outlook. I mean maybe if you could put into a little bit more context like which regions you are more comfortable with. Obviously we are factoring internal versus external challenges that have been going on in the business, but as you look out to next year, then that 5% obviously is still a great number. Where you are a little bit more comfortable, where you are a little bit more cautions specifically and then I know you are only giving sales right now, but should we assume that you guys can continue to do double digit EPS growth as you’ve done pretty historically over the last number of years.
Rick Goings: Yes Jason, and good morning to you. Jason, I would begin by saying, clearly lease resistance in the world from the competitive standpoint and for an opportunity of when we are looking for an earning opportunity or in the emerging markets of the world. So much of the future growth is going to be fueled by where the people are. We only have about 5% of the world’s population in Western Europe, only 5% in North America. The good news in both of those markets is, there is a high per capita income. The challenging piece is, in most of those markets you have 65% plus of woman involved in the work place. So a somewhat difficult environment to recruit it, but as we’ve shown, now after 50 years in Germany; I was just at their 50th celebration this last month, you can still have dynamic growth in those markets, where we are growing and the established markets are in that white space, which you are generally the higher density metropolitan markets and we were able to penetrate those markets by getting products that are for younger working women, to be able to translate the party, to be much more like a girls night out. So it’s a much more social environment and then we had to change also the sales force opportunity, because kind of its, you get to those cities for younger working women, its kind of Jerry Maguire country, show me the money. She’s not interest in just part time money, so we made those chances. So the few best about the growth though, higher growth levels are going to be in the emerging markets. Again, I mentioned here we are in India, but China, India, Indonesia are 40% of the worlds population, stitched together with that fifth largest market in the world, which is Brazil, and the dynamic growth we have there. You see what’s going on in Turkey. Turkey is going to be before long a 100 million population there. So that’s what really gives us the greatest comfort. Long answer, but a very important question. And so what you’ll see is most of the disruption you see right are in the established markets of the world, where they are trying to figure out right now what is the new social contract with governments and I think you are going to see a continued higher growth in these emerging markets. So don’t be surprised in the future, that the emerging markets are 75% of our business.
Jason Gere - RBC Capital Markets: Okay. And then within that, like when you look at South America this quarter, I think it grew in the mid-20’s, it has been growing. Is that just purely more of a comparison just as it gets bigger, the comparisons get tougher as opposed to – Venezuela, I know you said it was a little bit below your expectation, but any type of pickup there for next year.
Rick Goings: Well Venezuela was mostly pricing there. So what we try to do is keep our business, keep the opportunity alive for the women that really, this is important to them there, so Venezuela is not going to be that important to us. What’s going to be important is Brazil, Mexico. Uruguay, there’s only 8 million people there. We want to start marketing some serious money in Argentina and I think we are making the right move there to get our business model right. But there is much fewer people. I mean there is one-fourth of the population in Latin America as there is here in India. 
Jason Gere - RBC Capital Markets: Okay, and then just within the second part of that question, just about the double-digit EPS, can you endorse that today and especially it seems like currency is going to be a bit more neutral for next year’s numbers and you seem more positive about some of the challenged businesses out there, the leverage you get in the model. Can you go on the record today and say, yes we kind of believe that double-digit EPS in our mid-single digit organic sales is the right way to think about 2013. 
Rick Goings: Jason, I will let you hear a yes from both me and Mike. Let me give you the first piece of that. These markets here in Asia Pacific, even though the per capita income is low, we got more than $1 billion worth of fully amortized molds. So when we launch in a market here, we can give great value products, high quality and make wonderful gross margin. So our ROSs in these markets, many of them are considerably north of 20% and so with their growing at these kinds of rates and a high ROS, that’s a wonderful combination. Mike, why don’t you add on to that? 
Mike Poteshman : Yes, sure. Jason I think as you’re implying as you know and as we see, when we grow our sales 5% to 7%, there’s leverage in our model, we’ve been able to improve our ROS and we’ll continue to work in that direction, so that the bump off of the sales growth and then there’s another one from the share repurchases which we are doing $200 million this year and we’ll continue to follow our approach of targeting the 1.5 times EBITDA, so as we generate cash beyond what we use for dividend that’s available to buy shares. So when you take all those pluses together, you get the kind of results that you are talking about. When we look at the guidance for 2012, we are seeing about 5% up in sales and local currency. Yes, its got the one point drag from having one last week. The segment profit based on the numbers that we gave you or the guidance that we talked about in local currency is up double-digits in terms of percentage and the EPS on the high end is in the low 20s. So we do see those kind of dynamics helping us going forward. 
Jason Gere - RBC Capital Markets: Okay, and then just a clarification question and then I’ll hop off. Just when you gave the guidance of the full year outlook and return of sale, if you look at Tupperware North America, the first three quarters has been so strong. I think you showed some of your discipline by not going after some of that promotional stuff that’s out there, but the full year you’re seeing like a 100 basis points. So it would show that actually margins decrease in the fourth quarter. So I was just wondering if you just can clarify or provide a little bit more color. Am I looking at it wrong or what should we expect in that business really in the fourth quarter? 
Mike Poteshman: All right, Jason you are right. If you back in to what we are seeing for the ROS in the fourth quarter, we are expecting some investment in that business in the fourth quarter. I mean some of what we saw in the third quarter was we had variable costs, we didn’t get as much sale as we were looking for in U.S. and Canada and the profit came through because of that, because some of those stocks are variable. So given where we are with the sales force size and what we are trying to do, we are as we are always are trying to modulate our approach, that we are taking actions that make sense from a business point of view and a cost point of view together and that’s what we’ve included in the fourth quarter outlook. 
Jason Gere - RBC Capital Markets: Great. Thanks a lot guys. 
Operator: Your next question comes from the line of Dara Mohsenian from Morgan Stanley.
Dara Mohsenian - Morgan Stanley Research: Good morning guys.
Mike Poteshman: Hey Dara.
Rick Goings: Dara, she pronounced your name right. That never happens.
Dara Mohsenian - Morgan Stanley Research: Every once in a while. So Rick, I was just hoping for more specifics on why you expect the 5% to 7% more sales growth in 2003 and not growth in line with your long-term target. Is it more the external environment or is it kind of internal issues in terms of having a great number of puts at this point than you might typically have. And if it’s external, is that just kind of depressed growth in developed markets or is it potentially a slowdown in emerging markets. 
Rick Goings: Its more what you just said, the latter piece. Its external and it’s more established markets out there where we are seeing a lot of disruption and we keep having to tweak our model and we have the levers to do that, but its disruptive and I mean you see strictly what’s happened in Europe. I like the way we are navigating through it, but I sure would like all of them to hit it one time. You are staring to see kind of as I said, we had all the years (inaudible) the great concern now is they have 10% growth every year there and now they’ve taken below 8% to – I think we are at 7.5% they think. We are still growing double digit Dara, so we’ve got a lot of runway. I think we can offset that, but clearly Dara its more the issues with regard to externals in our established markets. 
Dara Mohsenian - Morgan Stanley Research: Okay and then can you discuss the turnaround in CIS that’s now been a couple of straight quarts with solid growth? Do you think that business is sustain ably turned at this pint and what’s your level of confidence in the results going forward. 
Rick Goings: Yes, well a couple of things on the CIS. Firstly, the biggest issue that we had in CIS was what I would call sales force architecture. We had very strong 10 years of growth in the CIS and we expanded from nine distributors to almost 200 distributors. That was too many and too short a period of time. And as you get out there to what I would call the outlier distributors, the one that we launched those previous, the last four years I will call it, they were relatively small and what happened was, when there was the devaluation of the ruble, all of a sudden they went unprofitable. And what we learnt from that, actually we learnt from that Dara from our Brazilian business that rather I used the example when talking to our internal management team of like building a circus tent. Its only as strong as how many poles you have on it and what we have said in those kinds of businesses is we really shouldn’t have had almost 200 distributors. We are now below 150 and we didn’t loose those other 50, most of them we just put them under bigger distributors. We made them team leaders, so they didn’t have the same kind of expense infrastructure and they can go out and recruiter, train and motivate people and not have an expense phase. That was the biggest thing that we turned around in that business. Second piece of it, big focus, the last three years on developing a very strong management team. We grew like a weed for that six or seven years and we really had so much high turn over there and if we settled in, recruited some stronger people, then I think that’s calmed the whole business down. We’ve had sequential improvements, a number of quarters and we’ve had two plus quarters. I think we are pretty much on the other side of that business here. We’ve got a great management team and still low levels of penetration. 
Dara Mohsenian - Morgan Stanley Research: Okay, that’s helpful. And then Rick, just given the continued evaluation gap in your stock versus peers, I’m wondering, is there any interest from management or the board and eventually accelerating share repurchases in 2013 and adding a bit of leverage above the prior leverage targets that you’ve outlined. 
Rick Goings: Well we always continue to talk about those kinds of things. We want to. For right now I feel comfortable with the flexibility that we have, of the level of looking at, raise the dividend, take a look at it at the end of every year, we raised it 20 last year, 20 the year before, 17% the previous year. We’ll take a look at that in the first quarter and then we’ll reevaluate what we do with share repurchase. With the turmoil going on in the world, I am a bit conservative as far as keeping our powder dry, but we keep talking about it, as far as the dialog Dara. 
Dara Mohsenian - Morgan Stanley Research: Okay, thanks so much.
Rick Goings: Thank you. 
Operator: The next question comes from the line of Olivia Tong from Bank of America - Merrill Lynch.
Olivia Tong - Bank of America - Merrill Lynch: Thank you, I appreciate it. Want to talk a little bit about margins. First, what drove the margin upside this quarter and then looking at next year, can you talk about investment levels necessary to turn around some of these under performing business and then with that likely a little bit less fixed cost leverage, the one point trending of the top line outlook. So can you talk about your thoughts on particularly with that typical plus 50 basis points pre-tax ROS, given potentially a need to invest a bit more in some of the other foreign markets and then also look at less matrix cost leverage. Thanks.
Mike Poteshman: Sure. On the ROS in the third quarter, really the benefit was on the DS&A line. You saw we were down about 100 basis points there. The biggest factor was the decision we made at Fuller, Mexico to invest somewhat incrementally from what we’ve done going back a few years ago, but not as much as last year. So that one certainly helped us. Some of the other things we saw, some nice leverage in Brazil on the sales. So we didn’t need to spend as heavily there. We were able to let that profit drop through and still perform very well in the business. We talked about a little bit about, I did, about the U.S. and Canada and we didn’t get the sales we wanted, but the cost structure there was variable, so that was favorable as well. We saw good leverage on the sales in Asia. As we look out over into next year, there is certainly some markets where our value chain is not where we want it to be, so we’ll work on that and that can be incremental for us. But as we look at investment levels, the way we lay things out, in our longer term approach to get 50 basis points a year of ROS, that means that we would need the contribution margin somewhere in the 25% range versus having a model that would all things equal give us somewhere around 40%. So that 15 points on the sales increase we are talking about is about a $20 million investment in some way shape or form and so that’s how we tend to look at things. 
Olivia Tong - Bank of America - Merrill Lynch: So you are still expecting the 50 basis point increase in 2013 as well. 
Rick Goings: We haven’t given a specific outlook, but that’s how – when we approach things from a planning point of view, we realize that overall we got about this 40% contribution margin and then we look through and make specific decisions on investments and balancing that, so we’ll be able to be more specific on our next call.
Olivia Tong - Bank of America - Merrill Lynch: Got it. And then we talked a lot about Mexico and Fuller, Mexico and the recruiting upswing in Q3 of last year and the subsequent fall out. What changes have you made to your sales force recruiting practices and can you talk about some of the learning’s that you took from that, so that you won’t repeat that in another market or in Mexico in the future and what’s been brought to other markets that you learn from that. Thanks. 
Rick Goings: Hi Olivia, how are you. The situation in Mexico was what they did, they didn’t reduce the price of the sales kit third quarter last year. What they did was they threw just an enormous amount of promotions and if you got a new recruit into the business, not only did the recruiter got something, but the person who is recruited got something and we brought in 90,000 people in the quarter and there’s no way in the world – firstly, many of these people came in for the price and secondly, there was no way of bringing aboard and really training that many people in that period of time. So what it ends up doing is dummying down the whole sales organization. We made a significant number of changes after that. Firstly, there is a new managing director running our business there, who was very successful running the Tupperware business in Mexico. Previous he was the CFO of the Fuller business. So he knows the Fuller business very well and we’ve been training him 15 years. So management has been moved around on that. Secondly, we are approving all the promotions on a much shorter leash. It was about 10 years ago they got into a same kind of a contest with another large direct seller there, where basically they got into the discounting game, competing with sales force and it comes down to business. So that was the greatest thing that changed. Now let me tell you what we’ve done. Firstly, the big focus is we have Fullerettes. We have about half a million Fullerettes down there. We have enhanced our earning opportunity. Much of that’s going to be launched in the fourth quarter that she can in fact come into the business if she becomes a super seller and sells over a certain level, she will be able to earn a great commission level. Next, we have enhanced training of the group, of what we call the local filed sales manger. We have also working to enhance her overall base salary that will stabilize that organization. All these things have been plugged in in the last several months. And so I like the direction that the business is going. From a product standpoint more of our focus in going to be on fragrance where consumers tend to be more loyal and we are launching more skincare products where you get that same level of loyalty. Color cosmetics are usually discounted and very promotional and have lower loyalty levels. So its not just one thing we did, that be it sales management, sales force and product initiatives that we have put in place in that market. 
Olivia Tong - Bank of America - Merrill Lynch: Got it, thanks. And then just one last housekeeping question on share purchase Mike. Should we expect that the share purchase will be back half ways in 2013, must as the way it was in 2012?
Mike Poteshman: I think the pattern will be somewhat similar, yes.
Olivia Tong - Bank of America - Merrill Lynch: Great, thanks so much.
Operator: Your next question comes from the line of Bill Chappell from (Inaudible).
Bill Chappell - SunTrust Robinson Humphrey: Good morning.
Rick Goings: Hey Bill.
Bill Chappell - SunTrust Robinson Humphrey: Just wanted to make sure I understood, on the share purchase this years, it’s a little more back end weighted if you’re looking at the $200 million. Is there any reason behind that, why they were greater in the fourth quarter versus third or is it just timing of cash flow? 
Mike Poteshman: It does relate to timing of cash flow Bill. So in our first quarter we’ve normally had a cash out flow from the business and the fourth quarter has certainly been our strongest cash flow quarter. So you are seeing it somewhat in consent with when we generate the cash. 
Bill Chappell - SunTrust Robinson Humphrey: In line with kind of Dara’s question, even with the stock price now should you expect a kind of a pickup in the first quarter next year with still kind of that flow going into next year?
Mike Poteshman: Yes, unless with Rick on the board that we would change our approach that wouldn’t happen right. 
Bill Chappell - SunTrust Robinson Humphrey: Okay and then just on the one part, on the S&A and the big down year-over-year, is that mainly topping the kind of spend you did on the U.S. sales force a year ago and then sort of lapping that or were there other major issues that kind of helped lower that on a year-over-year basis. 
Rick Goings: There were some issues in there, but the biggest one was really the lapping and what we spent on the Fuller Mexico recruiting push, yes, that was the biggest factor. 
Bill Chappell - SunTrust Robinson Humphrey: Its not necessarily, its more of the comparison than it is some real cost cutting that we would see going forward?
Rick Goings: Well, I wouldn’t characterize it as a lot of cost cutting, but what we do get is leverage when we get higher sales. So in markets like I mentioned Brazil where we grew sales very well, we did that in an environment of leveraging our fixed cost. So we see upside from that. If we talk about something like 50% of our DS&A cost are fixed in the short term, so if we are able to just keep running our business in a normal way along with what we get on leverage, on cost of sales, that’s where that 40% contribution margin on average comes from. 
Bill Chappell - SunTrust Robinson Humphrey: Okay, great. Thanks for the color. 
Operator: Your next question comes from the line of Linda Bolton Weiser from Caris.
Linda Bolton Weiser - Caris & Company: Hi Rick and Mike. Could you just give a little bit more color on Europe? I know Rick you talked about France being up slightly after it being down in recent quarters, but I couldn’t remember if you said what Germany was in the quarter. And also Italy, I think you have made a lot of investment there and we saw good growth for a while, but I think Italy might have been down last quarter, so can you comment on Italy. And then Spain I thought was, I think you said up 20% last quarter. Was that also just as strong or at least up in this quarter? And then in the European profit margin, can you just reminder us why it was so low in the third quarter of 2011? Was that that investment in Italy or was there something else, I couldn’t quite remember about that. Thanks a lot.
Rick Goings: Mike I’ll have you– I don’t have everything in front of me, but at first the Italy, the second half of last year, particularly in the third quarter, their promotional spending was very high and so we pulled back on that. Let me bring you into this year on it. Germany, Mike I think was 7% this quarter and so we were up the previous quarter, up the previous quarter and I think we were almost 10% up the fourth quarter of this last year. Things are going very well there. It’s a combination of the right product and I think we’ve done a very effective job with the field sales organization. I’ll tell you what we have implemented there. We have distributors, about a 150 distributors in Germany and typically a distributor would have under them about 35-unit manager and they couldn’t handle many more than that. And then typically in the unit you’ll have 10 to 20 sales people. Well we created a level called team leader about five years ago and we’ve been implementing that across the world. Well, its been particularly effective in Germany, because now you don’t have to grow the numbers of distributors. It will be like the case in point when I was answering Dara’s question on Russia. I don’t have to have more distributors, I can have bigger distributors there by helping grow with an infrastructure, where if she can two or three team leaders, she might be able to handle having 50, 60, 70 unit mangers and then what that leads to is much higher levels of penetration in that market, that’s what’s happening in Germany. That by the way is the same kind of thing going on in most of our European markets. France, was even quicker with that. France had a very difficult first half of the year, mostly because of all this malaise in the consumer environment. I think our force was down 15% and then we saw consumers coming back. We actually lost our big sales force size advantage. We had almost a 15% sales force size advantage this last year and it went down to a low single digit, but I think we are back on track again there. You saw strong in our Netherlands business, Belgium was up nicely, Spain Mike, would you – what were we at Spain in this quarter?
Mike Poteshman: Most single digits. 
Rick Goings: Yes, Portugal was up. So comment if you will on Italy Mike. You got those things in front of you.
Mike Poteshman: Sure, yes. Your right Linda, we were down in Italy last quarter and we were down again this quarter single digits. So that’s kind of the picture. You also asked about profitability in Europe and remembering, yes, that we did spend in Italy last year in the third quarter, we talked about two to three milling of incremental spending, we didn’t see kind of more incremental spending in Italy this year, but we also did recapture anything really as we continue to struggle there. And when you look at the ROS year-over-year in Europe, 2012 versus ’11, we spent fairly heavily promotionally in South Africa in light of the saturation there. France was well, which was more timing and then we did see some higher unit product cost given the volume running through our plants and the utilization of our machines. 
Linda Bolton Weiser - Caris & Company: Okay, can I just…
Rick Goings: What I didn’t mention too is here I’ve got Germany, France, Belgium, Netherlands, Spain, I didn’t mention Nordics, where we were up dramatically in the Nordics and that includes not only Scandinavia markets, but Finland as well. So we really are pleased with what’s going on there. 
Linda Bolton Weiser - Caris & Company: Okay, great, and then when you talk about next year and the growth, you mentioned about the externals and you said that’s a major part of the lower growth. But then you say implementation of changes in our challenged market. So I’m trying to figure out how I’m supposed to interpret that. Is that in your challenged markets your implementing things that won’t be solely producing results in 2013 and then we’ll see it in 2014 and that’s the issue or does that also mean higher spending behind those initiatives which will make a little bit lower profitability. I guess I would like to know more about exactly what you say your doing and I guess this means Australia, New Zealand, Japan, Beauti U.S., those markets. 
Mike Poteshman: Linda, we really don’t see it as lower growth, so we were up 5% in the second quarter and 6%in the third. We are calling it 5% to 7% in the fourth and what we are really saying is we are not necessarily going to see acceleration from that, given the external environment. It isn’t out, but this now goes out 15 months from now, so we’ll see if we can do better, we are always trying to do better. But we certainly don’t see a slowdown versus where we are operating. In fact we are really branding where we are this year with 6% after taking into account for the full year the one point from having one last week. 
Linda Bolton Weiser - Caris & Company: Okay. And then you mentioned that you exited Nutrimetics in UK, so I guess its good to hear that you are evaluating some of the problem business. Are there any bigger business or any other even smaller business where – I mean, maybe it’s the direct selling in Beauti doesn’t work in the U.S. and at some point you have to bite the bullet and say, may be BeautiControl is never going to grow. I mean are you thinking that way or are you not sort of giving any thoughts to that long term. 
Rick Goings: Linda, we are not thinking that way at all. We’ve doubled, we’ve actually tripled the size of BeautiControl and then it was internal missteps, which is still twice the size of business that we bought in 2000. I think we figured out where we made those mistakes. Now talking about Nutrimetics, when we made the acquisition of Sara Lee’s businesses, we had one primary focus; it was the Fuller business in Mexico. We knew that we wanted to have – back to this point again in Latin America they spent $22 billion on beauty. We knew many of our management team came out of direct selling beauty. We said we wanted to be able to compete in that. We got the Sara Lee businesses for the right price and nine multiple off even what we did in profitability in that Fuller, Mexico business and the way we looked at it, we got all these other business for nothing. So then we went through the process of proving, okay what do we want to keep of these business. First thing we jettisoned was we shut that Brazilian beauty business down, because you had both NuToura (ph) and Avon there and we folded that into our Tupperware business and you can see how we’ve been growing in Brazil and its kind of our Trojan Horse strategy. We still sell beauty there, but its only 4% or 5% of our sales there and its while we are there doing Tupperware. So we have been evaluating which other ones, Avroy Shlain, gosh, we’ve gotten that thing nicely turned around, growing double digit. We’ve got the Nutrimetics in France back on to grow again. Its taking longer than we wanted with this Nutrimetics in Australian and New Zealand, but I got to remind you that Sara Lee paid a quarter of a billion Ausie dollars for that business there. I mean we are a good business. We would have bought on its own going off into a developed market and bought a beauty business, probably not. But when you get it for nothing you sit there and figure out, hey it’s a good business and we make money with it and so there isn’t anything out there big. These other ones were around the edges and the reason we waited so long on those is we didn’t want to take the time and so now we sit focused, they are distracting us. 
Linda Bolton Weiser - Caris & Company: Okay, thanks very much. 
Rick Goings: Thank you Linda.
Operator: Your next question comes from the line of Frank Camma from Sidoti.
Frank Camma - Sidoti & Company, LLC : Good morning. Most of my questions have been answered, but I have some clarification on the growth, specifically from Asia Pacific, and you called out India. Was that the primary growth driver in the quarter or were there multiple countries. I think I missed that part. 
Rick Goings: Multiple. I mean, Mike if you’d go down the list. 
Mike Poteshman: Yes. Well Frank, Indonesia is now our largest Tupperware business in the world and we grew 30% there, so that was a huge contribution. India that we mentioned up around 50% was also very large. We also have one of our larger business in Asia is Malaysia, Singapore which has been growing extremely well, so good contribution there. We grew in the other emerging markets as well in China, in Korea, those are smaller. 
Frank Camma - Sidoti & Company, LLC: Okay great. I mean looks like the segment profitability was pretty strong there too. Is the product mix obviously a lower price point, but the margins are fairly consistent, is that a fair statement?
Mike Poteshman: The way that we really see it Frank is we sometimes in emerging markets sell slightly less highly engineered products in terms of the share of the mix and perhaps get a little less gross margin, but have to spend less promotionally. So we don’t see that model, by design that we should make less in one place than the other. We are just operating extremely well in many of those Asian markets and are really realizing the leverage of the higher sales on the fixed cost.
Rick Goings: Frank, I would add to it. Particularly here in India, they’ve even added another catalog. We have a core product that will see, that really comes out of basic food storage and its within the price range of affordable to most in India. However this emerging middle class, we’ve come up with a ultimo product line which has much higher price points and it made more highly engineered resins that you can get products in there that are north of $50 and north of $100 and that helps brand build as it triples down as well. So they are really segmenting that approach Frank. 
Frank Camma - Sidoti & Company, LLC: Sure, great. Thanks. That’s really all I had.
Rick Goings: Thank you Frank.
Operator: The next question comes from the line of Ian Gordon from S&P Capital IQ. 
Ian Gordon - S&P Capital IQ: Hi there. First question is on the adjustment to the EPS number. I’m just trying to understand what’s going on in the tax line there. It looks like there is a pretty big tax benefit that you’re accruing. It isn’t really called out in the footnotes. I was wondering if you can give some clarity there? 
Mike Poteshman: You are talking about on the full year outlook, Ian? 
Ian Gordon - S&P Capital IQ: No, I’m talking about in the quarter. You have this $2.7 million add backs to the pre-tax charges, but then you also reduced your tax bill by $3 million to get to the adjusted number. 
Mike Poteshman: Some of the items don’t give a tax benefit, but there wasn’t anything unusual like that in the third quarter of this year. Last year we had an impairment charge, which didn’t attract the tax benefit associated with it, so I guess that must be what you are referring to.
Ian Gordon - S&P Capital IQ: Okay, I can maybe follow up afterward if I have more questions. And then on your sort of outlook for the tax rate and the impact of having the repatriate of more cash, correct me if I’m wrong, but I think your debt is mostly U.S. denominated. So is there may be a better way to structure that, so you don’t have to repatriate it as much tax and by the way get a little bit of a natural hedge from the FX for having your debt denominated overseas. 
Mike Poteshman: Well, we actually do borrow some in Euro, but really the way we see it is we are fortunate with or business model, but it’s a fairly low capital intensity. And so we ultimately do want to bring the cash back to the U.S. We have been able to do that over time successfully. When we say our tax rate, well, it might go up a few points, its starting from this year’s 24%. So we are pretty pleased with how that all comes together, but ultimately to continue to support the share buyback, the dividends and all that, the cash needs to come back to the U.S. 
Ian Gordon - S&P Capital IQ: Okay, thank you.
Operator: The next question comes from the line of Gregg Hillman from First Wilshire Securities
Gregg Hillman - First Wilshire Securities: Good morning. Could you talk about, number one, any new products that have been introduced that you consider to be new tiding or may be significant in this company, either convention or just recently, you have any products. And then after that, may be you could maybe talk about any impact the Internet you think will on your company going forward. And then finally, whether in the established markers, whether its easier to recruit even young people and whether in the established market is whether your sales force is aging so to speak. 
Rick Goings: Yes, hi first Gregg. On product wise, I can only to a limited degree, because what we found out is we need to continue to launch about 25% of our sales every year, have to be from new products. We are doing the same kind of thing Apple is doing there and people run to catch up with us. So the most interesting new things that we are seeing around the world right now has been food preparation products that have picked up, high popularity. We introduced a product some years ago called a Quick Chef that was basically manual food processor and we had a bunch of flanker products come of that same kind of process and we now have one that basically makes smoothies with. That has been really a success in multiple markets and this is a product North of $60. So we are starting to see most of the new innovation is out of the core field of food storage. As a matter of fact as I joined the company, the bulk of sales at Tupperware, it was north of 75% with food storage, now its less than a third. So its new categories and new launches in these categories. Your comment about the Internet; how we use the Internet, its never in any of our markets more than 3% to 5% of our sales. Ours is very much of a social networking business, where a sales demonstrator contacts her friend, neighbors and relatives. She will hold a party with them and from that it perpetuates, always it’s like six degrees of separation friends, neighbors and relatives. How we have been using the Internet is really to facilitate her business. If somebody doesn’t have a connection to a sales person, they can go online and search and find one. If she wants to, many of our markets she places her orders via the Internet. We are learning in many of our markets also how she can see down line what her sales people are doing on the Internet, so it enables her to be a more effective sales leader. And we just launched in Germany and the U.S. what’s called iTupp, so that when an individual comes into the business, yes she goes to training, training is free, but very much we are taking a page from the Rosetta Stone here. She can go online and she can have an interactive training process, where each one of these can be 90 minute long. She gets reward for reaching certain levels of it and part of the reason for this and the primary reason for it Gregg is that one of the best ways we could grow our sales force is just not to enhance recruiting, but to reduce retention or enhance retention. So we have that back door not so wide open. So I feel good about that. I don’t think Internet is not going to be, its not a competitive issue with us. I will tell you how we use it too with our whole program called Change Your Confidence. If anybody wants to go online to changeyourconfidence.com, there is all kinds of interviews of successful Tupperware women. So we are using it market by market that way. Asha you might comment here in India on how we’ve used the Internet and fans and we were just talking about this individual yesterday.
Asha Gupta : Right. I recon in India we use Facebook a lot, leveraging social media. So we have the online sort of fan base that’s been growing exponentially. I think we are up to about 700,000 in terms of fans. We hope to close the year with a million fans on Facebook. But it’s really a platform where they share news about products, they are playing games, they are engaged with us, there’s videos they are posting, so we have a sales force, but what’s more interesting is hostesses and just people or fans of Tupperware all being engaged in Facebook. So I see it as a great support to the core business. 
Rick Goings: And your last question about the established markets, Asia into the sales force, actually quite the opposite is happing and is taking a long time to get there. Our sales force in our established markets is getting younger and younger and all you have to do is look at the unemployment levels, not only in the U.S., but also in Europe and a high number of them are collage graduates. So this enables up to not only get younger people, but get people who in the past never would have thought about building a career in Tupperware. Anyway Gregg, thank you for your questions.
Gregg Hillman - First Wilshire Securities: Who is the woman that was talking earlier.
Rick Goings: Asha Gupta. She is Managing Director of India and she is also Area Vice President of a number of markets here is Asia Pacific.
Gregg Hillman - First Wilshire Securities: Okay, thanks for your comments Asha. 
Rick Goings: But the way, comment on that Gregg, so many people and we spend a lot of time talking about our product or selling method and our earning opportunity. As we talked about it inside, the most important thing that we think and the power that Tupperware has is our people. All our company every is is a collection of people and Asha is a very good example of why search firms really don’t care for us that much, because we grow our own. Asha has been in the company 14 years. Started in India after – she was with Coca-Cola, got her MBA, joined the company. She was region. She managed marketing here. Then we sent to Copenhagen, where for the Nordic she was Head of Marketing for three years and then we pulled her back to India to take over the business here in India and she has been one driving this growth. Now we moved here into an area, VP role where she is shepherding a couple of other managing directors and showing them. So it’s really a big piece of how we make our formula work. 
Gregg Hillman - First Wilshire Securities: Okay, great. Thanks Rick.
Rick Goings: Thank you Gregg.
Operator: There are no further questions. I would like to turn the call back over Rick. 
Rick Goings: Everybody, thank you for your time. It is 7:15 here in the evening. I don’t know why I was asking Asha, why is this the only place in the world that its not hours ahead, its an hour and a half ahead. They had to pick it to be different. Anyway thank you for your interest and I’m going to try to do this when we are in markets each time. If I got the Managing Director there, simultaneous to your earnings releases, just to add a little bit more color to what’s going on across the world. Thank you very much for your interest. 